Operator: Thank you for standing by. Ladies and gentlemen, and welcome to the Dynagas LNG Partners Conference Call on the First Quarter 2023 Financial Results. We have with us Mr. Tony Lauritzen, Chief Executive Officer; and Mr. Michael Gregos, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today. Please be reminded that the company announced its results with a press release that has been publicly distributed. At this time, I would like to remind everyone that in today's presentation and conference call, Dynagas LNG Partners will be making forward-looking statements. These statements are within the meaning of the federal securities laws. This conference call and slide presentation of the webcast contains certain forward-looking statements within the meaning of the safe harbor provision of the Private Securities Litigation Reform Act of 1995. The statements in today’s conference call that are not historical facts, including, among other things, the expected financial performance of Dynagas LNG Partners’ business, Dynagas Partners LNG ability to pursue growth opportunities, Dynagas Partners LNG expectations or objectives regarding future and market charter rate expectations, and in particular, the effects of COVID-19 on the financial condition and operations of Dynagas Partners LNG and the LNG industry in general, may be forward-looking statements as such as defined in Section 21E of the Securities Exchange Act of 1934, as amended. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to slide two of the webcast presentation, which has the full forward-looking statement, and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. And now, I pass the floor to Mr. Lauritzen. Please go ahead.
Tony Lauritzen: Good morning, everyone, and thank you for joining us in our three months ended 31st March 2023 earnings conference call. I'm joined today by our CFO, Michael Gregos. We have issued a press release announcing our results for the same period. Certain non-GAAP measures will be discussed on this call. We have provided a description of those metrics, as well as a discussion of why we believe this information to be useful in our press release. Let's move on to slide three of the presentation. We are delighted to present the results for the three months period ending on 31st March 2023. We are pleased to announce that all six LNG carriers in our fleet were operating under long-term charters with its team’s international gas companies. In the first quarter of ‘23, our net income amounted to $9.6 million with earnings per common unit reaching $0.18. Our adjusted net income stood at $6.5 million, which translates into adjusted earnings per common unit of $0.10. Furthermore, our adjusted EBITDA for the same period reached $23.6 million. Moreover, on 27 March 2023, the Partnership reached an agreement with all lenders of it’s $675 million credit facility under which we voluntarily made a prepayment of $31.3 million. An amount equal to the aforementioned prepayment was released from the cash collateral account in order to make the payment. These achievements showcase our dedication to maintaining a strong financial performance and solid relationships with our partners and members. I will now turn the presentation over to Michael, who will provide you with further comments on the financial results.
Michael Gregos: Thank you, Tony. Moving to slide four, net income for the first quarter decreased by 60% to $9.6 million, compared to $23.9 million in Q1 2022, primarily due to a decrease in the unrealized gain on our interest rate swap transaction of $22.6 million, which was partially offset due to changes in the realized gain on our interest rate swap of $5.9 million and an increase of $4.1 million in interest and finance costs, which effectively was offset with the above mentioned increase in the realized gain or cash received from our interest rate swap. The aforementioned were counterbalanced by the decrease of $2.6 million of drydocking and special survey costs and the increase of $4 million of voyage revenues. Adjusted net income for the fourth quarter amounted to $6.5 million, compared to $10 million same time last year, the decrease being mainly attributable to the $4.1 million increase in interest and finance costs as a result of the higher interest expense paid under the floating leg of our credit facility. For consistency with prior quarter's adjusted net income excludes cash receipts and unrealized gains on our interest rate swap. If we included this quarter's realized gain from our interest rate swap of $5.6 million that can be seen in the cash flow statement, adjusted net income would have amounted to $9.2 million or $0.25 per common unit instead of $0.10. Adjusted EBITDA for the first quarter was relatively stable at $23.6 million, as compared to $23 million last year. In the first quarter with the approval of our lenders, we utilized all the funds from our restricted cash collateral account to make a voluntary prepayment of $31.3 million. TCE for the quarter amounted to about $67,600 per day. The elevated TCE relative to prior quarters is due to the non-cash straight line deferred revenue amortization related to the new contract of the Arctic Aurora with Equinor, which will commence in September and which is reconciled with actual cash flow and the receipts in the cash flow statement. OpEx for the first quarter amounted to $13,500 per day with a per vessel cash breakeven for the quarter of $46,600 per day, excluding distribution to preferred unitholders, the aforementioned voluntary prepayment and including the realized gain from the interest rate swap. Moving to slide five, as of end of March, we had $457 million debt outstanding. We are continuing our comprehensive deleveraging power, which commenced in the first quarter of 2020, resulting in a decrease in our net leverage to 4.5 times from 6.6 times and a steady increase in the book value of our equity, which today stands at $431 million. For the quarter, we generated $13.7 million in operating cash flow, equivalent to operating cash flow of about $0.37 per common unit. Again, please be reminded that this excludes $5.6 million in realized swap gains. Moving on to slide six, our cash balance for the quarter was reduced by $27 million to $53 million, primarily as a result of the aforementioned $31 million voluntary prepayment. We have three drydocks for 2023, which are expected in the third quarter. However, two of our LNG carriers are on OpEx and drydock pass-through time charters. That wraps it up from my side. I will pass over the presentation to Tony.
Tony Lauritzen: Thank you, Michael. So let's move on to slide seven of the presentation. Our fleet currently compromises six LNG carriers with an average age of approximately 12.9 years. The vessels are chartered by prominent companies, including Equinor of Norway, SEFE and Yamal trade of Singapore. As of June 2023, the fleet contracted backlog amounted to approximately $960 million translating to an average backlog of about $160 million per vessel. Further notice it has an average remaining charter period of about 6.1 years. Moving on to slide eight. Our strategy results around securing long-term charters with LNG producers. Currently gas prices in the main pricing hubs remained significantly lower than a year ago when they reached new highs due to the Russian-Ukraine situation. However, the spread between U.S. feed gas prices and LNG energy prices in Europe and the Far East continues to be favorable. We view this as a positive for both economic sustainability of consumers and global growth, as well as for gas producers. While the importance of LNG in managing global emissions and energy security is increasingly recognized. We anticipate the continuation of Final Investment Decisions for mature LNG projects and the execution of long-term LNG sales and purchase agreements. Consequently, the demand for LNG shipping in the long-term remains positive. With strong European demand, we believe that the 150,000 to 160,000 cubic LNG carrier segment is well suited for supplying LNG to both land-based terminals and FSRU import terminals in Europe. This is especially relevant for FSRU terminals, which often have a limited storage capacity and less flexibility in managing the implementation of large cargo sizes, compared to land-based terminals. Considering these factors, we anticipate the favorable demand for our fleet in the future and we will leverage the healthy market conditions to explore further opportunities for our fleet. Let's move on to slide nine. The partnership has demonstrated its commitment to its debt production strategy. Since December 2019 until end of March ‘23, we successfully repaid $218 million in debt significantly lowering the net leverage from 6.6 times to 4.5 times. Additionally, the partnership has achieved a 38% increase in book equity value, standing at $430.6 million at the end of March ‘23. Looking ahead, we are confident that the partnership's ongoing efforts to reduce [Indiscernible] further ultimate equity value through stable long-term cash flow visibility. We firmly believe that the LNG plays a pivotal role in building a future with reduced emissions. The demand for LNG is projected to continue as the work progressively shifts away from current and other parts of fossil fuels in favor of cleaner energy sources. Moreover, the long-term asset for LNG shipping rates remained robust. These rates are driven by the sustained demand for LNG shipping, which is bolstered by long-term SPAs from countries striving to enhance their energy security and integrate price volatility. Considering these promising developments, we may find a positive outlook on the prospects for LNG shipping. Thank you for your attention. We have now concluded the presentation and invite you to ask any questions you may have.
Operator: Thank you. There are no questions at this time. I'll now pass the call back to Mr. Lauritzen for any closing remarks.
Tony Lauritzen: We appreciate your time and effectiveness. Thank you for your participation and look forward to connecting with you again on our next call. Take care and goodbye.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. We thank you for your participation.
Q - :